Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference Operator today. At this time, I would like to welcome everyone to the Primoris Services Corporation Second Quarter 2024 Earnings Conference Call. [Operator Instructions] I would like to gain I would now like to turn the conference over to Blake Holcomb, Vice President, Investor Relations. Please go ahead.
Blake Holcomb : Good morning, and welcome to the Primoris Second Quarter 2024 Earnings Conference Call. Joining me today with prepared comments are Tom McCormick, President and Chief Executive Officer; and Ken Dodgen, Chief Financial Officer. Before we begin, I would like to make everyone aware of certain language contained in our safe harbor statement. The company cautions that certain statements made during this call are forward-looking and are subject to various risks and uncertainties. Actual results may differ materially from our projections and expectations. These risks and uncertainties are discussed in our reports filed with the SEC. Our forward-looking statements represent our outlook as of today, August 6, 2024. We disclaim any obligation to update these statements, except as may be required by law. In addition, during this conference call, we may make reference to certain non-GAAP financial measures. A reconciliation of these non-GAAP measures are available on the Investors section of our website and our second quarter 2024 earnings press release, which was issued yesterday. I would now like to turn the call over to Tom McCormick.
Tom McCormick: Thank you, Blake. Good morning, and thank you for joining us today to discuss our second quarter 2024 financial and operational results. In the second quarter, Primoris delivered double-digit growth in both revenue and profitability from the previous year. Our employees have taken ownership of driving our strategy to grow profitably with an emphasis on safety and cash flow generation. In recent quarters, we've been highlighting key drivers of the increased investment in infrastructure solutions including industrial reshoring, growing electricity demand and the transition to lower carbon energy sources. We are seeing these things play out in many of the markets we serve across North America, but perhaps there's no better example of this than in the state of Texas. The Electric Reliability Council of Texas, or ERCOT, recently increased its estimates for future power demand. The revised forecast predicts a more than 75% increase in demand from a peak load of 85 gigawatts in 2023 to 150 gigawatts by 2030. The increase is being driven by a rapidly growing population. The oil and gas industry transitioning their operations to run on electricity rather than gas or diesel as well as large users of power, such as data centers powering artificial intelligence and cryptocurrency mining. We have already seen the impact of data center development in other parts of the country. And Primoris has a suite of critical services that we can provide for these projects. From high-voltage work and site preparation to liter installation and power generation, we are well positioned to continue providing valuable services to the development of data centers. So far this year, we have been awarded or in the process of constructing close to $400 million of work related to data centers and have identified more than $300 million of projects slated to be awarded in the next 12 months that we believe align well with our expertise. The projected growth will require significant investments in solar and natural gas generation resources as well as substations and transmission lines necessary to deliver the power to the ultimate end users. The state of Texas is encouraging investment in dispatchable resources through its Texas Energy fund which could provide up to $10 billion in loans and grants to finance and incentivize construction, maintenance and modernization of facilities. Primoris has long-standing customer relationships in Texas and a track record of execution that we believe will make us well positioned to capitalize on solar and natural gas power generation as well as the associated power delivery needs. It is still in the early stages for how the Texas Energy Fund will be administered. We are currently evaluating roughly $500 million of natural gas simple cycle peaker facilities that are currently in the planning phases and we anticipate that there will be more opportunities in the years ahead in Texas and other parts of the country that are expected to experience the same increase in electricity demand. Now let's look at our performance for the quarter by segment. In the Utility segment, revenues were lower compared to last year, driven primarily by lower activity in gas operations. While activity has been as expected or even better in the Midwest and Texas markets, we have seen a slower rollout of gas programs with customers on the West Coast. Some customers have had to modify their programs and lower costs as they work with regulators on rate case approvals, particularly in the California market. Although the delays led to a decline in revenue, we were able to quickly adjust our cost structure to hold margins relatively flat in the business. On the other hand, communications activity was higher from the previous year with more fiber-to-the-home activity in the Southwest. Profitability also improved as we did not have the adverse impacts of higher costs associated with a challenged project last year. The near-term outlook for communications continues to trend positively as opportunities to support the data center network build-outs of our hyperscaler customers increase. Power delivery revenue was fairly consistent compared to the previous year, but we did see profitability increase. Driven by improved productivity and a small amount of storm response work that helped to offset the large substation project we constructed last year. I want to thank our alignment who traveled from different parts of the country to assist our Texas neighbors who were impacted by Hurricane Beryl and other weather-related events. These men and women work long hours in challenging conditions to restore power to communities in their time of need. We value their contributions and their approach to performing their duties safely and efficiently. Moving over to the Energy segment. The ongoing success of our renewables and industrial construction businesses drove strong revenue and margin growth versus the prior year. In Renewables, the market for our solar EPC solution remained strong and we performed well during the quarter despite some weather-related delays. We also booked roughly $600 million of new projects in the quarter and added another $500 million earlier in the third quarter. These awards include approximately 800 megawatts of battery storage and span across multiple customers and states from California to New York. We are now on track to exceed our new business goals for the year and expect that total backlog and renewables will approach $3 billion by the end of the year, making us essentially book for 2025 and establishing a solid foundation for growth in 2026 and beyond. In addition to growing our solar EPC backlog, we recently achieved a milestone of $55 million in bookings of our Premier PV electric balance of system or eBOS solutions. Premier PV is a small, but growing business within renewables that is focused on utility-scale products through its offering of combiner boxes, disconnects, wire harnesses and other products making it a complete eBOS solutions provider. Initially started as a value-add option for our customers in a way to avoid long lead times or supply chain disruptions, we are now selling to third parties that value our quality, reliability and easy to install eBOS solutions. While Premier PV is still a relatively small part of the renewables business, we have made capital investments to grow our production capacity and build on the more than 10 gigawatts of eBOS products deployed since its inception. We believe that Premier PV aligns well with our strategy to expand the services we can offer our clients and has the potential to be a more meaningful contributor to our renewables profitability in the years ahead. In wrapping up renewables, I want to congratulate our team for being selected as the number2 ranked solar EPC contractor nationally in Solar Power World Magazine's 2024 rankings and were also recognized as a top utility scale solar EPC service provider in several of the states in which we operate. This acknowledgment is well deserved and evidence of the hard work and dedication of our people. In Industrial Services, we drove double-digit growth and improved margins on solid execution, particularly on projects in the Western U.S. and increased activity in the Gulf Coast region. During the quarter, we also made strides winding down or divesting certain noncore businesses in the segment that will enable us to focus our time and attention on driving margin expansion and cash flow. To summarize, it was a good second quarter in the first half of the year, and we are looking forward to continuing to take advantage of the tailwinds in our markets and delivering safe and consistent execution to our clients. Now, I'll turn it over to Ken for more on our financial results.
Ken Dodgen : Thanks, Tom, and good morning, everyone. Our Q2 revenue was just under $1.6 billion, an increase of $150.3 million or 10.6% from the prior year, driven primarily by strong growth in our Energy segment. Energy segment was up $194.8 million or 25% from the prior year, driven primarily by solar and industrial construction. The Utility segment was down $28.4 million or 4.4% from the prior year, primarily due to a decrease in gas operations activity and a major substation project that was completed in the prior year. These impacts were partially offset by increased transmission and substation work for our renewables customers and increased activity in communications. Gross profit for the second quarter was $186.7 million, an increase of $29.4 million or 18.7% compared to the prior year. This is primarily due to the increase in Energy segment revenue and improved margins in both segments. As a result, gross margins were 11.9% for the quarter compared to 11.1% in the prior year. Turning to our segment results. Utility segment gross profit was $64.1 million, down $2.4 million or 3.7% compared to the prior year due to the decrease in revenue. Despite lower revenue, gross margins improved slightly to 10.3% compared to 10.2% in the prior year due to improved operational productivity and cost management. We continue to prioritize improving margins in this segment through a combination of favorable project work, MSA rate increases and higher productivity in our power delivery business. We expect to see some improvement for the full year 2024 compared to the prior year and further margin expansion in the years ahead as we progress toward our goal to have this segment perform in the 10% to 12% range. However, for 2024, we still anticipate margins will be at the lower end of the 9% to 11% range. In the Energy segment, gross profit was $122.6 million for the quarter, a $31.9 million or 35.1% increase from the prior year due to both higher revenue and improved margins. Gross margins were 12.6%, up from 11.7% in the prior year. The improved margins were driven by strong execution on natural gas power plant projects in the Western U.S. and an increase in renewables revenue. Looking at SG&A. Expenses in the second quarter were $100.1 million, an increase of $14.5 million compared to the prior year. The increase in SG&A is primarily due to increased personnel costs and technology investments to support our growth. As a percentage of revenue, SG&A was up slightly from the prior year to 6.4% of revenue due to the timing of certain expenses. But we expect SG&A will be down slightly in the third and fourth quarters as we trend towards the low 6% range for the full year. Net interest expense in the quarter was $17.1 million, up slightly from the prior year due to a $3.2 million unrealized gain on an interest rate swap in the prior year, mostly offset by lower average debt balances this year. Given that we've been able to fund our operations for the first half of the year without the need to draw on our revolver, we now anticipate that our full year interest expense will be between $71 million and $74 million. This is down from our previous estimate of $77 million to $82 million. Our effective tax rate was 29% for the quarter. We believe this rate will be consistent for the full year. Second quarter earnings showed solid improvement from the prior year. EPS increased by $0.19 per share and adjusted EPS was higher by $0.24 per share. Additionally, net income increased almost $11 million to just under $50 million and adjusted EBITDA increased to $117 million, up approximately $15 million or 14% compared to the prior year. Taking a look at cash flow. In Q2, we saw cash flow from operations of $16 million, which drove a small $12.4 million cash use year-to-date. This is a strong improvement over the almost $81 million of cash used through the first 2 quarters in the prior year. The primary drivers were an increase in deferred revenue related to upfront customer payments and higher operating income. Cash flow is a key focus for our leadership team, and we believe we are on track to see improvements in our working capital through the initiatives we are implementing. Moving over to the balance sheet. We maintained strong liquidity of $480 million, which includes $207 million of cash and $273 million in available borrowing capacity on our revolver. Our trailing 12-month net debt-to-EBITDA ratio, as defined by our debt covenants, dropped to 1.8x EBITDA at the end of Q2. This represents our lowest leverage ratio since the second quarter of 2022 just prior to the PLH acquisition. While our ratio can differ somewhat quarter-to-quarter based on working capital needs, we are trending towards our target ratio of 1.5x EBITDA. Our capital allocation priority continues to be paying down debt with free cash flow in the current interest rate environment. Total backlog at the end of Q2 was just under $10.5 billion, down around $440 million from the end of 2023. Fixed backlog was lower by $332 million from year-end, primarily due to the timing of solar and other energy segment bookings. As Tom mentioned, we closed another $500 million right after the end of the quarter, which tops us back up to where we started the year. MSA backlog was lower by about $109 million from year-end, driven by lower MSA work in Canada and lower pipeline MSA work. partially offset by almost $80 million in additional MSA backlog in utilities. We continue to see a lot of opportunity to win work across our end markets, and we are optimistic that we will build backlog in the second half of the year. Barring any unforeseen project delays or push-outs, we believe we can position ourselves to end 2024 with a higher backlog than we started the year. Before turning it back over to Tom, I'll close the financial overview with our updated guidance. We are raising our full year EPS guidance to $2.70 to $2.90 per share, adjusted EPS guidance to $3.25 to $3.45 per share and adjusted EBITDA guidance to $400 million to $420 million for the full year 2024. We are encouraged by our first half results and our outlook for the rest of the year, particularly in solar and industrial construction, along with lower interest expense. With continued safe and successful execution, we believe we are on the path to another record year of revenue and earnings in 2024. With that, I'll turn it back over to Tom.
Tom McCormick : Thank you, Ken. Prior to opening the line up for questions, I'd like to recap some of the key points of the quarter. First, demand for the services we provide remains high across our markets and is becoming increasingly important in the state of Texas. We have the relationships and experience to build solar and gas power generation, critical components of data centers and the power delivery services required to connect them. Second, our renewables business continues to thrive and show signs of accelerating in the years ahead as we build backlog and grow our project management teams. The addition of ancillary services like battery storage, O&M and eBOS solutions through Premier PV simplifies the construction process for us and our customers and expands our already strong relationships with them. Lastly, we are making progress in improving our utilities margins through improved mix, new MSA contracts and increased productivity even as the timing of customer spending can fluctuate on a quarterly basis. Ultimately, we are confident that there is a lot of work that will be needed from our utility segment in the years ahead to meet the needs of the North American economy. We have a lot of opportunity ahead of us to drive profitability and cash flow higher. Success in these areas along with the continued capital discipline will take us further down the path of achieving our goal to be the best allocators of capital in our industry. In our view, this will allow Primoris to reach its potential to the benefit of our employees, our customers and our shareholders. We will now open up the call for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Jerry Revich with Goldman Sachs.
Adam Bubes : This is Adam Bubes on for Jerry Revich. In electric utilities, just wondering if you can speak to what customers are telling you about their investment plans over the next 2 to 3 years to prepare for the increased load growth? And what level of growth is at business today.
Ken Dodgen : I'll let Tom talk about kind of what the customers are saying. In terms of -- in terms of revenue growth, for us, it's fairly low revenue growth right now. We're targeting single-digit growth this year, Adam, as we've talked about in the past, because we are more focused on margin improvement, and this is obviously the first of the 3-year plan for us, focused on margin improvement. And then, Tom, you've probably been talking about customers [indiscernible].
Tom McCormick : What we're hearing from clients is a little bit different, depending on what part of the country we're in. I think some of them are waiting to see what happens in the election. The others are not and others are planning for the growth here in Texas, for instance, our customers are expecting significant growth, and they're seeing their budgets increase year-on-year. So they're asking us to support that and grow with them. Other parts of the country, we're seeing the same. We're having very similar conversations whereas [indiscernible] is a little bit different. Some customers are waiting to get it in the rate case, and we're waiting to see what happens with the election. So it's kind of a mixed bag.
Adam Bubes : And then shifting to utilities. What utility margins, what type of margin improvement are you now thinking about in 2025 versus 2024? And what inning are we currently in the renegotiating of MSA utility contracts flowing through?
Ken Dodgen : Yes. I don't have specific margin targets for you for '25 right now. But with respect to what inning we're in, we're -- well, there's 2 phases of it, right? Adam, we talked about this in the past. There's the ongoing stuff. We constantly have contracts that are being renewed every single year. So there's the ongoing piece of it. And then there's the other component, where we're specifically talking about better payment terms and other things like that. That we are probably in the second or third inning and will happen over the course of the next -- over '24, '25 and '26 as well.
Tom McCormick : But the ones we've targeted, we're probably in the eighth or ninth inning of some of those finished those negotiations are finished soon, but the game starts over right every time one expires. Every year, we have MSAs that expire or coming up for renewal.
Adam Bubes : And last one for me. Is any of the year-to-date revenue growth in utilities attributable to intentional margin-accretive shedding in that business? Or is it really the lapping of the project that you referenced in gas operations, mainly?
Tom McCormick : It's a little bit of both.
Operator: Our next question comes from the line of Lee Jagoda with CJS Securities.
Peter Lukas: It's Pete Lukas for Lee. I appreciate it, you guys covered a lot in the prepared remarks. Just 2 quick questions for you. You had spoken on your Analyst Day about wind-down of activities for a portion of the business. What, if any progress has been made on that front? And how are you thinking about expected proceeds and potential benefits to gross margins as a result of any actions?
Tom McCormick : We've actually are in the process of winding some businesses down even now and rather in divesting ourselves and others. The divestitures will take a little while, but we did just recently sell a smaller business, and the net proceeds from that were minimal, but they were positive. We sold some assets of another business that were winding down and some of that was fairly positive for us as well and the rest will probably come even later this year or some go into 2025. So some of these are just going to take some time. Some of them we have actually buyers that are interested in the businesses, and those discussions will take -- those just take time to evolve.
Peter Lukas: And last for me. Can you just talk about weather dynamics in the quarter and how this may have impacted the segments? And any read into how that's progressing in the current quarter?
Tom McCormick : We had some rain in the second quarter, obviously, that impacted some of our solar and heavy civil business. It's probably a little bit of our industrial businesses here on the Gulf Coast. Some of them will get some recovery from their clients just because of their name storms and the language in the contract will help us a little bit to cover some of the costs, not necessarily have any upsides of those, obviously. Others will not. The impacts were not as significant as we thought. We were able to get back to work pretty quickly on all of those sites. So it's been pretty good. We had a little bit of storm work that gave us a little bit of revenue in the quarter and the second quarter and some early third quarter this year, again, not real material.
Operator: Our next question comes from the line of Julio Romero with Sidoti.
Alex Hantman : This is Alex Hantman on for Julio. First question on data centers. Are you seeing any trends around expansion in the size of projects or relative growth in your portfolio?
Tom McCormick : We're seeing more opportunities associated with work that supports or is a component of a part of building data centers with respect to power generation. We're doing a number of studies now on projects, peak shavers and the like here in Texas in this part of the country to support. I'm sure future demand that comes from the construction of data centers. We're also doing some work right now for clients in fiber installs, and we have the ability -- and we're also doing some more clients in power generation associated with data centers. It's both solar and gas.
Alex Hantman : And then your question around the EPS guidance. Can you talk a little bit about some of the scenarios that might bring us to the low end versus the high end of the guidance?
Ken Dodgen : Yes. I mean it's the normal opportunities, right? If we have any serious weather in the back half of the year, that could impact us from a cost perspective or if winter sets in earlier in Q4 than we're expecting, that could be -- take us to the lower end of the range. On the opposite side of the spectrum towards the top end of the range, good project closeouts, some storm work from named hurricanes during Q3 and early Q4. Those are the usual suspects that drive us toward the upper end of the range.
Operator: Our next question comes from the line of Avi Jaroslawicz with UBS.
Avi Jaroslawicz : On for Steve Fisher. So yes, just back in margins for a second, another quarter of robust profit in the Energy segment. I just want to understand how that compared to your expectations going into the quarter and -- maybe if you can give us a little bit more color as to what drove that? And then as we think about the second half, how much conservative and would you say you're baking into guidance? And what are the biggest swing -- uncertainties in your mind there?
Ken Dodgen : Yes. Look, not a whole lot of uncertainties as we look toward the back half of the year because basically, we're burning off backlog for the most part. The margins were slightly above where we thought they were going to be just because of the timing of a couple of modest project closeouts during the quarter and -- and frankly, the fact that we burned a little bit more revenue during the quarter than we originally anticipated. And look, the back half of the year, again, I think it's just going to be another solid year -- another solid finish to the year for us. We feel good about where we are. And we still have in a couple of our businesses. We still have a little bit of business to win, but it's a relatively small percentage of the total pie.
Avi Jaroslawicz : And then in terms of the backlog, so I think we would have maybe expected a little bit stronger bookings for the Energy segment, especially when you called out the $700 million of awards there in Q2 with the July press release. So I know there's another $500 million that was booked in early July that we'll hit Q3. But can you discuss just some of the moving parts within backlog there? Like what were the ins and outs in terms of bridging backlog from Q1 to Q2?
Tom McCormick : I'm not sure if there's any magic, but -- a lot of it is just timing. The same thing with Q2 to Q3, right? We could have very easily have booked that another $500 million that crept into Q3 into late Q2. It's just the timing when the contracts were executed. And we don't put it in backlog until the contracts are executed. We've a lot of opportunities towards the end of this year. We've got projects that we're negotiating. We've got projects that we've been told we're the low bidder on them. We're preparing to sign the contract. It will take place over the course of the third quarter and fourth quarter of the year that will put us in a good position for going into 2025. But sometimes when you get towards the end of the quarter, some of that just pushes so we have really no control over it. The fact that we'll have it -- our expectation is we'll have it in backlog going into 2025, and that's all I really care about.
Operator: And our next question will come from the line of Kevin Gainey with Thompson, Davis.
Kevin Gainey : It's Kevin on for Adam. Maybe if we could -- if you guys could touch on the energy margins in the quarter, they were pretty strong. And do you think that can continue in the back half? Because to shake out that might end up towards the higher end of the guide.
Tom McCormick : That's certainly a possibility. I mean, right now, most of the businesses in our Energy segment are performing well. Some of it is the timing of projects. If you got a project that we're just starting your margins, you're probably not going to see margins go up a great deal on projects that are in the early phases, but we also have projects that are closing out, [indiscernible] guys continue to perform, which they have so far this year that there is potential for an upside.
Kevin Gainey : And then maybe we could talk about communications demand. I know you guys mentioned Southwest. Is this like -- was that one particular customer driving that? And maybe how you're looking for the back half of the year in Communications?
Tom McCormick : No, we still expect to see good improvement in performance by our communications group in the back half of the year. They performed extremely well since finishing out that problem project they had last year, and they've been very consistent. They're not growing at a rapid rate, but they are growing and they're performing well. And it's with a number of different clients in various different parts of the country and -- [indiscernible] Colorado, Texas, New Mexico, Nevada.
Ken Dodgen : And Arizona.
Tom McCormick : And Arizona.
Kevin Gainey : There is definitely a Southwest [indiscernible]. And then just quickly, there was a gain on sale rather sizable on the cash flow. Was that a particular divestment in the industrial stuff that you guys were mentioning?
Tom McCormick : Yes. It was a couple of divestments. When we sold one of our businesses and the other one, we're winding a business down. And look, we sell equipment through this underutilized [indiscernible] it was there. It's kind of spread across all 3 of those.
Operator: Our next question will come from the line of Brent Thielman with D.A. Davidson.
Brent Thielman : I just had a couple of questions here. Tom, I think you guys made mention in the release in the past around some opportunities developing in the gas-fired power market, be curious sort of what that competitive environment looks like, how do you manage your exposure to those sorts of risks and what will be a typical sized project for Primoris. It seems like that could be an interesting opportunity for you?
Tom McCormick : We're doing some of this work now in our union group out in California and out West. And they have an expertise in that. So they manage their risk extremely well, and they're performing really well. Yes, there are a number of competitors, other contractors they compete with, but we've won our share of the work. And one of the most recent jobs we were just basically awarded negotiated. So there was no competition. Nonunion, we have an expertise, but primarily more inclined to go with simple cycle or peak shavers, which are much smaller, maybe $300 million and down perhaps. And again, we know that work extremely well. We will rely on the expertise we have in the company. Actually probably not as much competition here in Texas in some of the [indiscernible] areas in this region is as we've seen in some other parts of the country.
Brent Thielman : And I guess, Tom, any sense how customers in solar are viewing the upcoming election? Is there any sort of real wait-and-see approach to moving new projects that wouldn't -- it doesn't look like it, but curious your thoughts there.
Tom McCormick : The customers that we work with specifically, we have not. They're not really worried about what the next administration is going to do. They see investment in. They may possibly see slowdown in the apparent demand for solar energy. But honestly, there is need for it to be a more conservative approach to how fast you can build these facilities anyway and they'll probably see that being more in line with what's realistic more so than being aggressive. So I think all of our customers, we negotiated about 90% of the work that we execute and all of our customers are very well-funded developers. So we haven't really seen anything.
Ken Dodgen : But yes, just to add to that, we still see it growing. It just may not grow quite as quickly as it's been growing in the past couple of years.
Tom McCormick : Yes, which is kind of -- which is what I said with respect to being a little more conservative, but more in line with what reality is.
Brent Thielman : Yes. Just last one on the Utility segment. How much of the headwind is some of the softness in spending from gas utilities I guess, to the gross margin expansion story. In other words, can you still expand margins in the face of some of that sort of spending pressure near term?
Tom McCormick : Yes, I think we can. I honestly think we can. Some of it is just performance related. So if we perform better, we continue to perform better and optimize our productivity and our efficiencies on job sites, we can. Some of it's in negotiations and clients are inclined, they need our services, they want our services and U.S. partners have been really receptive to negotiate adjustments to our rights and our MSAs. Some of them have pulled back and the clients are saying that they are not spending as much. They're really spending probably more to get the same amount of work done. So it's not that their spending is dropping. It's just -- but they experienced the same interest rates or similar impact in the interest rates that we have, right? So maybe their spend is going up $8 billion in a year, but they're probably planning on getting the same amount of work done. So there's no -- we have not seen any pressure from clients to reduce our costs and reduce their costs in anyway. So [indiscernible] margin pressure.
Operator: That will conclude our question-and-answer session. I will now turn the call back over to Tom McCormick for closing remarks.
Tom McCormick : Thank you. And thank you for your questions and interest in Primoris. We're pleased with our results through the first half of 2024 and expect the second half of the year to put us on a positive trajectory for 2025. Thank you and we look forward to updating you next quarter.
Operator: That will conclude today's call. Thank you all for joining. You may now disconnect.